Operator: Welcome to DSM's conference call on the quarter one results of 2015. [Operator Instructions]. Now I would like to turn the call over to Mr. Huizing. Go ahead, please, sir.
Dave Huizing: Thank you, Patricia. Ladies and gentlemen, good morning and welcome to this conference call on the first quarter results we published earlier this morning. Sitting here with me are Mr. Feike Sijbesma, Chief Executive Officer and Chairman and of the Managing Board; Mrs. Geraldine Matchett, Chief Financial Officer and Member of the DSM Managing Board; and Mr. Jos Op Heij, Senior Vice President Corporate Control and Accounting. They will elaborate on the results and, after that, answer your questions. This call will last 60 minutes. As a reminder, I'm obliged to say that today's presentation may contain forward-looking statements. In that regard I would like to direct you to the disclaimers about forward-looking statements as published in the press release. Now I would like to hand over the call to Mrs. Matchett. Geraldine, please go ahead.
Geraldine Matchett: Thank you, Dave. Ladies and gentlemen, good morning and welcome to this call on our DSM Q1 2015 results. Before we get started with the Q&A session, I will talk you through some of the key slides from the investor presentation which we published this morning with a press release and that you can find on our website, DSM.com and on our Investor Relations app. Now starting on slide 2. This slide shows the main financial highlights for the quarter, focusing mainly on continuing operations. Our sales reached €1.886 billion for the quarter which is an 11% increase versus last year, of which 2% was organic. And our EBITDA increased 4% to €248 million. Therefore we're overall satisfied with the quarter, although the underlying is somewhat of a mixed picture which I will explain in more detail in the coming slides. But in summary, nutrition delivered an overall 4% organic growth for the period, supported by good volume growth in animal nutrition. And performance materials had another strong quarter, with improved margins in all businesses, resulting in a 21% increase in EBITDA versus last year. And finally, our cash from operating activities improved to €84 million versus €11 million in the same period last year. Now if you recall, in March we announced the partnership with CVC Capital Partners for our polymer intermediate and composite resins businesses. This is a significant step to further optimize our portfolio and reduce cyclicality which was well received by the market. These businesses are now shown as discontinued operations. We have therefore recognized an impairment of €130 million for the quarter, hence the net loss for the period. So these were the financial highlights. But let me run you through some of the other slides before I address the outlook. I will start on slide 5 on net sales. On this slide we show the breakdown of our 11% top-line growth for the quarter. As you can see, this growth was supported by good volume progression of 3%, 1% lower prices and a favorable 9% from foreign exchange rates. For nutrition, overall sales growth was 15%, made up of a 14% organic growth and 11% from currencies. However, it's important here to highlight that this organic growth came solely from animal nutrition. Indeed, animal nutrition maintained its positive growth momentum, with sales growth of 23%, supported by volume growth of 14%. Continued strong growth was achieved mainly in premixes and in the Tortuga business in Latin America, while the vitamin E negative price effect on sales was broadly compensated by higher prices on other ingredients. In contrast, human nutrition reported for the same period an organic sales down 6% versus Q1 last year, with volumes down 6% and prices remaining flat. As I will show on slide 8, this decline is due mainly to comparative figures. Nonetheless, some weakness remains across certain product categories, fish-oil-based Omega 3 dietary supplements in the U.S. being the most pronounced. And finally, for performance materials a sales increase of 7% for the quarter, with a 3% volume growth and an 8% favorable FX. Prices were down 4%, but this is mainly a reflection of lower input costs. DSM engineering plastics showed good volume growth and business conditions remain favorable for DSM Dyneema. In resins and functional materials, we have volumes were overall flat as higher volumes in the coatings resins were offset by somewhat lower volumes in functional materials. Now looking at the breakdown of our EBITDA on slide 6, we delivered €248 million which is up 4% versus last year. This increase, as you can see, was driven by performance materials, with a 21% increase resulting from positive foreign exchange effects and lower raw material costs. The EBITDA margin significantly increased to 13.6%, in line with our 2015 target range of 13% to 15% that we mentioned previously. In nutrition, the EBITDA for Q1 was €195 million, down 4% versus prior year as the positive volume growth in animal nutrition that I mentioned previously was not sufficient to offset a number of factors. Lower vitamin E prices, lower volumes in human nutrition, costs relating to intensified marketing and sales activities as well as actions we have taken to reduce inventory levels. In addition, the positive effect of foreign exchange rates, especially the U.S. dollar, were partly offset by the negative impact of the stronger Swiss franc and British pound. To be clear, while on the top line a negative effect of the lower vitamin E prices was broadly compensated by higher prices of other ingredients, please note that a substantial part of these other ingredients, such as amino acids, are insourced for our premix activities and therefore price increases only result in a limited increase in EBITDA. Now for the sake of time I will skip several slides and move to slide 8. To help provide some clarity on the nutrition results we have introduced this slide. It highlights two important trends. Firstly, the quarterly evolution of both animal and human nutrition went in opposite directions in 2014. Following a slow start, animal nutrition progressed gradually throughout the year, whereas over the same period, human nutrition results were impacted by the issues that we have mentioned, such as the U.S. dietary supplement market, both in vitamins and in the fish-oil-based Omega 3, the food and beverage market and infant nutrition. As a result, comparative figures will go in opposite directions going forward, making any extrapolation of our Q1 growth rate somewhat dangerous. Over the year organic growth for animal nutrition will likely reduce as they will face an increasingly tougher comparison, while the comparative figures for human nutrition will become progressively easier. Secondly, this graph provides a reminder of the gradual shift between human nutrition and animal nutrition. In Q1 2013, as you can see, human nutrition was the larger part of the business, whereas now it's clearly animal nutrition. While this is not necessarily a permanent trend, the change in mix does have an impact on the overall margin. Moving now to discontinued operations on slide 17, I'll give you a little while to get there. And now on slide 17, as mentioned earlier, following the announcement in March of our new partnership with CVC Capital Partners for our polymer intermediates and composite resin businesses, these are now reported here under discontinued operations. However I would like to highlight the fact that the main movement in this table actually relates to DSM Pharmaceutical Products which was also reported within discontinued operations last year until we created our DPx joint venture which explained the €100 million drop in net sales. The increase in EBITDA, however, does relate mainly to the businesses that are in scope for this NewCo, with polymer intermediates reporting higher volumes and margins and DSM composite resins benefiting from higher volumes, both of which are in line with our expectations. From a cash flow performance perspective, key comments are provided on slide 19. Cash from operating activities amounted to €22 million for the total of DSM and €84 million from continuing operations which represents a clear improvement versus last year. However, the foreign exchange movements which we have been mentioning with reference to the income statement, also have an implication for our balance sheet. Indeed, these foreign exchange movements over the quarter have increased our total assets by nearly €870 million. Of this amount, €200 million leads to an increase in working capital, while the underlying figures actually remained flat which is a good performance compared to the usual seasonal increase we see in Q1. On our liabilities side, our net debt increased by €512 million for the quarter, mainly driven as well by foreign exchange, including mark-to-market changes in the fair value of derivative instruments held and the investment in the Aland acquisition of €75 million. Now finally let's move to slide 24 for the outlook. Having run through the performance of each of our businesses for the first quarter, we believe that the underlying business trends that were taken into account at the start of the year when expressing our view for our outlook for 2015 have not materially changed other than for the impact of foreign exchange rates. In February we indicated that we aim to deliver an EBITDA slightly ahead of 2014. Since then, volatility in currencies continued, including a strengthening of the U.S. dollar against the euro and ongoing fluctuations in the Swiss franc. We now estimate that this could lead to an overall positive impact of approximately €45 million on our 2015 EBITDA should these rates persist. Therefore taking this into account, our outlook has been slightly amended to DSM aims to deliver an EBITDA in 2015 ahead of 2014, mainly driven by positive foreign exchange effects. And with this I'd like to open the floor for questions. Operator?
Operator: [Operator Instructions]. Our first question is from Mr. James Knight from Exane BNP Paribas. Go ahead, sir.
James Knight: I've got three to kick off. Firstly for nutrition, could you estimate or give us the FX impact on EBITDA in the first quarter? I'm just trying to work out what the negative impact on margin from FX was in the first quarter. Secondly, the comment about early signs of improvement in human nutrition, is that a comment about market data or are you starting to see a pickup in your volumes on a sequential basis as you go into the second quarter? And thirdly on DPx pharma, we've obviously had two quarters now of pretty high margins. Could you give some color about whether you think those margin levels are sustainable or even further improvable as the restructuring comes through going forward and also what the organic growth was in the quarter, if that's relevant? Thank you.
Geraldine Matchett: Let me maybe start with the question on the foreign exchange on nutrition. Now the nutrition benefit for the whole Group, the FX benefit, sorry, was €13 million for the quarter, of which about two-thirds relates to nutrition. Now please bear in mind here that we're comparing Q1 rates to Q1 rates. So that's the FX, so broadly €9 million for nutrition. And with regards to DPx, now we don't comment in detail about the performance of our associates throughout the year. However, we're happy to say that it has been overall a positive quarter, both in terms of growth and, as you said, maintained good margins. And we see no reason for that to particularly change, but we don't give more detail than that during the year. Now, Feike, would you like to address the nutrition trends or--?
Feike Sijbesma: Yes. Human health, overall nutrition, I think we're pretty satisfied. 4% organic growth in the quarter. Prices flat. I think we did well. Animal health performed very well in this first quarter so we're very satisfied there. Also food specialties did well. I think where I'm not satisfied about is the performance of human health which was lower than last year, although I need to say that last year human health in the first quarter had an excellent quarter and it went down over the quarters in the year. So if you compared quarter to quarter, you compare a relatively high first quarter last year for human nutrition. If I compare with the fourth quarter, I see a pickup. So that is a positive sign. Still overall I'm not satisfied with human nutrition. It can be a little bit better. We're taking a lot of actions. We're making organizational changes. We have done that. We made some changes in the organization of human nutrition, but also some personnel changes. Secondly, we're reducing our cost there if we look to manufacturing operations. We have a little bit increased cost if you look to marketing and sales activities because we have intensified our campaigns to increase the market. You've seen last year the actions we did in Charlotte in the U.S. as a test. And based on that we want to go nationwide. That we're working out right now and basically took already some first actions there. But it's too early to see signs of recovery of the market because Omega 3 market is still under pressure, although I feel that our actions, at the end of the day, will be of help. Food and beverages globally was not a bad quarter. So you see some early signs. And I expect that human health will do better over the coming quarters. That is what all our actions are geared at. But also you get, of course, a different comparison over the different quarters compared with last year. So all in all, nutrition I think very satisfactory if you look to the results. Animal and food specialties okay. Human health a little bit better than last quarter Q4. But we still need to push further the actions we're taking at this moment.
Operator: Our next question is from Mr. Patrick Lambert for Nomura. Go ahead, please.
Patrick Lambert: Just a simple one question on the ingredients you insource. Can you quantify a bit the impact on volumes and prices in animal nutrition, in particular I suppose it's mostly nutrition and also on EBITDA, just for us to quantify the underlying platform? Thanks.
Geraldine Matchett: Okay. We don't provide detailed breakdowns by ingredients. However, as we mentioned, there is this disconnect in Q1 numbers because these pass-through costs effectively have enabled us to net off the vitamin E downside on the top line, but the dynamics of these insourced ingredients is that it's a cost-plus equation. So we're not going to tell you cost-plus how much. But there are some categories of products that are quite significant. I mentioned amino acids as being probably one of the better examples here, but some of the vitamins as well. So yes, it's part of the dynamic. And we're highlighting it here because it seems an important part of the equation to understand why on the top line you're effectively seeing a 0% pricing, when in fact we're being impacted by vitamin E, as we had anticipated and mentioned previously.
Patrick Lambert: So the best way to look at it is basically offsetting - you try to offset your vitamin E price decline impact on top line and on EBITDA through this insource to quantify the amounts. Is that the best way to look at it?
Geraldine Matchett: We're not trying to offset. They are what they are.
Patrick Lambert: Yes, mathematically.
Geraldine Matchett: Yes. What you're seeing is that it offsets on the top line because as the cost, the value of what we buy, we pass through plus a markup, you see that that leads to what looks like a positive pricing effect on our top line, while the Vitamin E clearly goes the other way. So it's not that we're trying to do something; we're actually following the markets in terms of those particular ingredients that we insource.
Operator: The next question is from Mr. Paul Walsh from Morgan Stanley. Go ahead, please.
Paul Walsh: Three, if I can. I wondered if you could give some quantification around the year-on-year increases in advertising spend to get some of the nutritional products moving and the extent to which that might or might not be one-off in nature. y second question was around nutrition margins. Do you think we've seen the trough in the first quarter at 16.3% or is the strength in animal health likely to drive that down further? And I guess as an extension of that, any chance you can give some guidance on the spread in margins between human health and animal health? And then just finally, my last question on net debt. Can you give us an idea as to where you see net debt coming out by year end? And are there any mark-to-market implications on your pension fund? I suspect not, but just to check on lower discount rates. Thank you.
Geraldine Matchett: Yes. Okay. Well let me maybe, good morning, Paul, take a couple and then I'll hand over to Feike. So in terms of the margins, if you remember, we guided towards a 17% to 18% for this year. That is total nutrition obviously. Given where we're and given the mix which is a stronger mix effect than we had maybe original anticipated, we probably will be closer to the 17% than the 18% for the full year. Now mid-term our aim is to bring that back up. So that's really the picture on the margin. Now the net debt indeed increased by €500 million. Now we don't provide detailed guidance for the full year because there's a lot of moving parts in there, obviously foreign exchange rates being a big contributor to the outcome of the number. But we're not seeing any direct implications there. Our balance sheet remains solid. So we're not particularly uncomfortable at this stage. In terms of the pensions, as you know, the yields of assets are very low these days, but so - and the discount rates. But we haven't had to adjust any reported figures at this stage. Now on the marketing and sales cost, do you want to--?
Feike Sijbesma: Yes. Like we said, we're satisfied how we're operating in food specialties and the animal health business. We're pushing our performance in human health and that should pick up in the coming quarters. The increased marketing and sales activities, of course we cannot provide you the exact figures. But if it would be €1 million or €2 million, we would not have mentioned it here. Is it 10s of millions over the year? Of course not. And I hope with that you can get some flavor of what it might be on a yearly basis. But it's not €1 million or €2 million and it's not 10s of millions either. But we're taking deliberate actions to increase our share of wallet, what we call that. We increased the market by those campaigns. Also we're working with retailers. I think what we could further do is to manage our business even sharper. And there we've made some organizational changes and some personnel changes in our human health business over this quarter. And I tell you we're very, very active to restore the growth the way I want to see it in human health. And like Geraldine said, our target therefore is not to further decrease the margin of total nutrition by a growth of animal health, but trying to continue the growth of animal health. First quarter was a very, very strong growth and the last - and the first quarter last year was a little bit weak. So be careful with that comparison. But at this growth level it will not continue with this 12%, 13% over the year, of course. But good growth, like we had also last year with animal health, by the way and, like Geraldine said, we try to get the margin short term above 17%, that is our goal. And of course, in addition, but that we'll come back in the course of the year, we're working on further actions in nutrition. And what that will result longer term, most likely we will talk about that during the course of this year.
Operator: The next question is from Mr. Oliver Reiff from Deutsche Bank. Go ahead, please.
Oliver Reiff: Two questions from me. The first one is on vitamin E and if you've seen any change in competitive behavior there. And the second is more around your portfolio. And as you continue to progress with the realignment of the portfolio, are you looking closer at moving further downstream in human nutrition and capturing greater value through product branding? Thanks.
Geraldine Matchett: I'll address vitamin E. Now as you have seen, the prices have not moved significantly during the quarter. In fact it's a little bit deceiving because if you look at it in euros, the underlying is actually a small drop in terms of dollar quotes. Now do we expect it to come back up? Actually not particularly. Well, good news in inverted commas is that some of the Chinese competitors are reporting these days' difficulties in terms of their financial results. So we're hoping that we're close to the bottom, but would not see a big impact. So we're staying with our estimate of about an €80 million impact for the full year.
Feike Sijbesma: Yes. I would reiterate what Geraldine said that all vitamin E is not recovering, but totally behaving like we have said, losses of the smaller Chinese and a huge profit drop of the bigger Chinese. And on the portfolio in this whole human health business, to move further into B2C business. As you have seen, our B2C business, i-Health, is doing very well over the last two years, I need to say. And we expect again good growth of it this year. We try to be especially in those B2C areas where not our main customers are. So of course we don't compete with our direct customers. And we pull a little bit of the benefits and the margins in the market towards us by this forward integration. It's still modest, although it's moving at this moment - I've said in the past it is around €100 million, it's now moving towards the €200 million area. So it's still small in the total DSM but becoming bigger. And that fits in the whole focus of DSM on a great nutrition business and a great performance materials business. And that is what we have been working on. Therefore we're also happy with the deal we made last month with CVC on putting the last part of our chemicals aside. So I think also strategically moving in the right direction.
Operator: Our next question is from Mutlu Gundogan from ABN Amro. Please go ahead.
Mutlu Gundogan: I have three questions. The first question is on the cost savings. I see you talking about it in the press release. Just wondering if you can put some numbers behind that. The second question is on the financing cost, clearly a high number due to unfavorable hedge results. Can you provide some more color on that? What was driving that? And is that a one-off or can we expect them to impact that line in the coming quarters? I.e. can you also give some guidance for the full year? And then finally, it's a little bit tied to the net debt question earlier, but the financial derivatives, that increased by some €400 million quarter on quarter. Again, can you talk about what were the elements that were driving that increase? Is that a number that you expect to continue for the coming quarters? Thanks.
Geraldine Matchett: Yes, sure. So firstly in terms of the cost savings and the programs, as we've tried to indicate, it's still a bit early for us to give details. These are structural programs that we'll be focusing both on the nutrition part of the Group, but as well on the support functions across the company. And it is really a bit too early for us to provide any details at this stage, neither in terms of cost savings or exact timing. But this will come. And it is taking up a lot of our time and is very much a focus for us these days. Now in terms of the finance cost, as you saw, there is quite an increase in Q1. This is really linked to, in particular, the Swiss franc interest rate curve. So that's the part of the hedging that ends up in the financial expense. Now given the volatility, I cannot say whether this will go up or down. This obviously reflects the current position of the curves. In terms of the full-year guidance, we'd probably, given today's information, would expect that we will have a financial expense a bit higher than last year, possibly by between €10 million to €20 million depending on how the curves move. And in terms of the financial derivatives, as you know, we have had a long-term hedging policy in place. While we talk a lot about the foreign exchange impact on the income statement, really there is a significant impact on the balance sheet overall, both on the asset and the liability side and of course on the financial derivatives that are used for the hedging of our positions. So in terms of the balance of the year, obviously the valuation on the market is the mark to market, so it reflects today's situation. We will see how that evolves. And there will be some cash outflows between now and year end depending on the maturity. But not all derivatives are maturing in 2015. So the best thing is we will provide you ongoing guidance on a quarter by quarter on the net debt.
Mutlu Gundogan: But maybe if I just can simply follow up with a small question on the guidance or on your outlook. You're saying that FX will have the benefit of €45 million this year. You were saying neutral at the full-year results. Is that the amount that we can simply add to the EBITDA of last year?
Geraldine Matchett: Well the best way of looking at it, if you remember in February we said we would have an EBITDA slightly ahead of 2014, assuming the foreign exchange were broadly awash. Now we're saying that basically we will deliver the same but with the FX being slightly positive. So yes, that is the right way of looking at it. However, let me just maybe explain a little bit how we got to the figure. We took the actual rates of Q1. I'll give you the two main currencies, but obviously there are more in the basket. We took for the U.S. dollar $1.07 and for the Swiss franc CHF1.04 for the remaining nine months of the year. And using the sensitivities that we have provided in the past, this is how we come to this estimated €45 million. Now if you look at actually today's exchange rates, this has dropped a bit because the U.S. dollar has weakened somewhat. So please take it with some caution. But we wanted to provide an indication of the potential benefit.
Operator: The following question is from Jaideep Pandya from Berenberg. Go ahead, please.
Jaideep Pandya: First question is really just on your fundamental that you see in the animal nutrition market, especially on the vitamin side. So you have seen some really good growth in this market, but obviously vitamin E prices keep going down or have gone down and are stable now. I just want to understand competitive edge here. Do you think that the availability of intermediates in this market has actually improved which is allowing some of the Chinese competitors to be a bit more competitive than which was the case maybe five years ago or so? That's my first question. And the second question is just on human nutrition side. So in areas where you have had challenges, pardon my ignorance, but it seems that they are all areas which you bought or which - assets that you acquired. So would you say that it has taken you a little bit more time to understand these businesses and we should see significant improvement from self-help measures that you are taking here over the next couple of years? Thank you.
Feike Sijbesma: Okay. Vitamin E, like Geraldine said, prices relatively flat, not recovering, sometimes slightly movements up and down in this quarter. So no update. However and that means that compared with last year we have an €80 million hit this year. And we assume that the prices remain at roughly this level. And we do not anticipate any recovery during this year. We need to see. We don't have a crystal ball, but that's what we assume. And we have no signs that i's changing. The market or the competitor impact is exactly like we expected. We have two smaller Chinese. They reported recently a loss which we expected. So they are less competitive than we're. And we expected a severe drop of the profit of the bigger competitors, the two bigger ones and they reported that also. So in that sense, all the figures that we have seen externally are exactly like we predicted and expected. We, even with the increased Swiss franc, are still very competitive in Switzerland. So although our profitability of vitamin E clearly dropped due to the Swiss franc and due to the decrease of the price of vitamin E, we're still very competitive on vitamin E. Realize that it is a 20-step - what is it? 16 to almost 20-step chemical process you need and you need the raw materials, the precursors. But that is not the big deal only; this is all the steps afterwards also. When at a very high price, it doesn't matter so much whether you have all those steps a little bit uneconomically. At a low price, of course, it is very important and we have optimized all those steps. So I feel very comfortable with the competitiveness as we have with vitamin E. And as I said also before, we do not give in any kilogram of volume in vitamin E. And you see it also in our performance volume-wise in the market. We claim our chunk of the market. So I think the strategy is working out very well. On human health, I would like to nuance a little bit. No we did not - took more time to understand the businesses. I think Martek has been performing very well from the beginning. Fortitech, I'm very happy with that acquisition. Tt did very well. On the animal health, Tortuga performs very well. The only one indeed which performs a little bit less, although still the net present value of that business is still higher than the price we paid, is Ocean Nutrition for the Omega 3. And indeed, due to the market of Omega 3 movement, that is a little bit disappointing, although the value as we see it is still higher than what we paid for it. So we still generate money there, but less than we have anticipated before. And I hope that at a certain moment we can turn that market, with all the actions we're taking. And that costs a little bit more time. In the organization, it takes always a little bit more time to integrate, but not only to integrate your organization, but also the people into the new system. And like I mentioned, we recently made some further changes in our organization and also some personnel changes to further speed up our performance in human nutrition. And I have good feeling that we're picking that up. And the management of DNP, compliments to Mr. Chris Goppelsroeder, who is managing that. Together we've done that. They are sitting together with Geraldine and myself on top of those businesses every week, every month. So human nutrition, we will come there.
Operator: The following question is from Mr. Martin Roediger from Kepler Cheuvreux. Go ahead, please sir.
Martin Roediger: First on working-capital-to-sales ratio which was 27.9% in Q1. Is it possible to get a pro-forma figure for Q1 last year, excluding polymer intermediates and composite resins, to see what was the change here year over year? And maybe to help us, what is the seasonality in working capital after the recent disposal? The second question is on performance materials. Can you quantify the windfall profits in Q1, i.e. the effect from even stronger decrease in raw material costs that you had to pass on to customers in terms of pricing? And are there any windfall profits also to happen at the beginning of Q2? And the third question again on performance materials. Can you talk about the momentum in that business within the first quarter and what you see regarding demand at the beginning of the second quarter? Thank you.
Geraldine Matchett: In terms of working-capital-to-sales ratio, you're right that obviously the carve-out of the businesses that are going to NewCo make a big difference. So if you take last year full year, the restated ratio is actually 26.3%, so OWC as a percentage of sales. Now what we have seen in the first quarter is that the underlying working capital remained flat which for Q1 is quite unusual; normally you see a seasonal trend up. But when you look at the balance sheet, it doesn't reflect that way because of the translation effect and we actually have €200 million additional working capital reported in euros. And that's the balance sheets in Swiss francs and dollars coming back in. So we're not seeing an improvement yet in that ratio. But our target for this year would be to go closer towards the 25% on the full-year basis. Now as you know, one of the businesses that has the biggest struggle here is nutrition because of the very long supply chain within the business. And this is part of these programs that we've been talking about. One is actually dedicated to trying to tackle better supply chain management and working capital. The good news is in Q1 we actually got a €50 million decline in working capital for that part of the business. So we're starting to see some of the benefits of work that started already last year but that we need to keep working on. So that's really the picture when it comes to working capital. Now maybe, Feike, do you want to comment about performance materials?
Feike Sijbesma: Yes. I think the first quarter was good although the overall organic growth is limited. But that's mainly due to the price effect raw materials, mainly due to oil prices which has been dropping, so all the raw materials are cheaper. And then also the end prices are also lower but not at decreasing margins, even at increasing margins sometimes or flat or increasing margins. So although the prices declined, I think the margins did well. And the volumes did very well, especially in engineering plastics and in coating resins. Dyneema was a little bit flattish, but as always a little bit moving in the order pattern. And functional materials was a little bit lower in volumes. But overall, you see it also with the 3% volume growth of performance materials in the first quarter, that was not a bad quarter. That is what the Dutch say when they have a good quarter, I think. And I think the margins did well because a total EBITDA margin between 13% and 14%, 13.6%, in the range as we want to have it, as we targeted for 2015, so on par. And if you look to the year-on-year quarter in performance materials with an EBITDA increase of over 20%, I would call that indeed, in good Dutch, not a bad quarter.
Martin Roediger: Sorry, but no question was answered in the way I hoped for.
Feike Sijbesma: Sorry. My fault.
Martin Roediger: I have not - I am still missing the working-capital-to-sales ratio for Q1 last year with pro forma. And then I was asking for the details about the windfall profits in Q1 in performance materials. And I also was asking about the momentum, if March was better than February and January. And if you saw April to show the momentum further accelerating.
Feike Sijbesma: Okay. Geraldine will come back on the working capital. The windfall is difficult. I tried to answer, but I apologize for that. You see a drop in raw material prices. You see a dropping end sales prices because you saw a 4% decline of our prices. And overall it resulted into a profit and margin increase, partly coming from the volume, partly coming from cost, not so much cost from input but also cost from our own operations. I don't want to talk too much about the windfall we have from decreasing input costs because we have seen also that end product prices has been dropping. So I would say, due to that, raw material prices may be relatively flattish. And I don't know how that will evolve during the rest of the year. But we have a tight management of our own cost. And secondly, of course, the EBITDA has been growing due to the volume growth. So I want to be careful about this whole windfall in the rest of the year also and also in the first quarter of these raw materials. The momentum, yes, the momentum has been good in the first quarter, not of all businesses, but especially of coating resins and engineering plastics. It is too specific now to give all kind of outlooks of specific parts of the business. But of course in our total assessment of the whole year, this is taken into account. And the overall economy, we're slightly positive, but we do that with some caution. I'm careful about the so-called recovery of the economy in Europe and the high-growth economies, etc. So I want to be modest there and don't want to give you an impression like the momentum is boosting or booming, etcetera. I think that would be the wrong statement. What would be the right statement is that we're working on an improved EBITDA of our performance materials business in the year 2015 compared with 2014, as you see in this quarter and as you see in the margins. I hope I address some of your questions with that. And then, Geraldine, on the OWC?
Geraldine Matchett: Yes. On the working capital, the percent of sales, sorry for missing the fact you were particularly interested in Q1. Now if you remember, last year our improvement came more in the second part of the year. And the restated figure for Q1 is 28.2% as an OWC-to-sales ratio on the quarter.
Operator: The next question is from Mr. Neil Tyler from Redburn. Go ahead, please.
Neil Tyler: Three left, please. Firstly with your measures to reduce working capital, I wonder if you could expand a little bit about whether there will be investment in a fixed asset investment requirement to relocate facilities that will begin to materialize over the latter part of the year. Secondly, again on the subject of efficiency measures, can you give us any feeling for what has been achieved so far relative to what you anticipate achieving over the remainder of the year? And then thirdly, just a small one relating to what's going on in the North American poultry market at the moment. Can you remind me how much that is of the overall animal nutrition business and whether your business has seen any effect of that to date? Thank you.
Geraldine Matchett: In terms of the OWC improvements, there really are different timings. There's some things you can do pretty short term and some are indeed more long-term and potentially with some investment. So what you're seeing now and is partly reflected in the Q1 results, is that to reduce inventories you do have a lesser coverage when you do that. But there are times when you just need to adjust your inventory levels. And that's what we've done. So these are the more short-term, more OpEx-related items. Now at this point we don't yet have a view of some of the bigger investments that could come out of that project where we're looking at the more structural supply chain elements. So we will come back on that. You could have - I could foresee two types of costs. One could be linked to systems, with some more investment in integrating the systems to get better S&OP planning and potentially indeed some CapEx adjustments. But it's too early to say and unlikely to happen this year.
Feike Sijbesma: On the poultry in the U.S., I think you are referring that there is some bird flu in some pockets of some regions in the U.S.. But at the scale it is right now and the condensed way, it has a limited impact on our business. So we're not concerned what is currently happening that that is influencing strongly our results.
Geraldine Matchett: And I think you had a third question, Neil, about the efficiencies.
Neil Tyler: That's right, yes. In terms of run-rate, what was achieved to date versus what your ambitions are for this year?
Geraldine Matchett: Okay. Well what we're referring to here mainly are the new programs that we're putting in place. Now we've got the run-through of what has been done in previous years. If I'm not mistaken there was reference to programs relating to the integration of acquisitions, etc. I'm afraid I don't have the roll-on of those at hand because the focus here is really much more on the additional measures that we're taking. Now at this stage they're very much in the design phase so there's not much in the current results. And we'll come back later with the quantum relating to that.
Feike Sijbesma: Also impacting of course 2016, 2017 and other years.
Geraldine Matchett: Absolutely. That's it. In fact the bulk of it will be coming after 2015 most likely.
Operator: The final question is from Mr. Joseph Dewhurst of UBS. Go ahead, sir.
Joseph Dewhurst: Just two questions left. Just on the supplements market in the U.S., if you could just comment on if you're seeing any kind of elements of improvement there. And then just finally with the net debt level and essentially with net debt to EBITDA close to 2.8 times, are there any implications or what kind of level would that get to where you would have implications, say, on covenants or these kind of issues? Thank you.
Geraldine Matchett: Okay. Let me start with the net debt. So, yes, we closed the quarter at €2.9 billion. Now our balance sheet remains very solid so we're a long way away from any covenants linked to funding, so no issues there at all. Now when it comes to the rating, of course it's up to the rating agencies to balance out the various ratios that they monitor. Our mid-term policy has been so far to be actually single A minus. We're currently still single A but with negative outlook. So we're not particularly uncomfortable with this position and there are no foreseeable consequences in terms of funding for the Group.
Feike Sijbesma: And in the U.S., the supplement markets and multivitamin, we see a slight uptick. But I'm cautious there, but not a further decline. A part of that market is the Omega market. And there the first quarter sales was not a good quarter, not so much our sales also not good, but also not in the market. And there hopefully our campaigns which we now put from Charlotte to nationwide, at the end of the day will help.
Joseph Dewhurst: And so, Feike, with those nationwide campaigns, is that trying to target general advertising to encourage people to take Omega 3 or is it more with customers who may include it?
Feike Sijbesma: Those two, specific with our customers, specific with general advertising and specific to add to the two you mention, actions with retailers. And that is in-store education, in-store branding, in-store information, providing in-store information, etc. I don't want to mention which retailers, but you talk about the biggest ones in the United States.
Dave Huizing: Okay. Then looking at time, we have to close the Q&A session. Geraldine, do you want to make some closing remarks?
Geraldine Matchett: Thank you, Dave. Yes. Firstly, thank you all for your interest in DSM and for listening in to the call. As I mentioned in my opening comments, we made a good start to the year, in particular with the CVC deal and we're overall satisfied with our quarterly results. Currencies have turned from being broadly neutral to a slight tailwind which has enabled us to improve our outlook. We will continue to actively work on these improvement programs that we have been mentioning relating to our core businesses, including setting up efficiency improvements and cost reduction programs while at the same time obviously continuing to support the value creation in our significant partnerships that we have. And with that, I thank you all.
Dave Huizing: Thank you, Geraldine. This concludes our conference call for today. Thank you very much for your attention and your questions. If you have any further questions or need background information, please feel free to contact us. With that, I now hand the call back to the operator.
Operator: Thank you very much, Mr. Huizing. Ladies and gentlemen, this concludes this conference call on the quarter one results of DSM. Thank you for attending. You may now disconnect your line. I wish you all a good day.